Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 Bank of Hawaii Earnings Conference Call. My name is Jeremy and I’ll be your operator for today. (Operator Instructions) Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Cindy Wyrick, Director of Investor Relations. Please proceed.
Cindy Wyrick: Thank you, Jeremy. Good morning, everyone, and thank you for joining us today to review our financial results for the third quarter of 2011. Joining me this morning is our Chairman, President and CEO, Peter Ho; our Vice Chairman and Chief Financial Officer, Kent Lucien; and our Vice Chairman and Chief Risk Officer, Mary Sellers. Comments today will refer to the financial information included in our earnings announcement this morning. Before we get started, let me remind you that today’s conference call will contain some forward-looking statements. And while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now, I’d like to turn the call over to Peter Ho.
Peter Ho: Thanks, Cindy. Good morning and aloha everyone. We appreciate you joining us today. Bank of Hawaii achieved solid results for the third quarter. Our balance sheet remained strong with high levels of capital and liquidity and adequate reserves. Revenues continued to be challenged by lower interest rates at the net interest income line and by changes due to regulatory rulings at the non-interest income line. Our expenses though remained well-controlled and our asset quality remains a strength for the organization. Return on assets for the quarter was just a touch ahead of 1.3% and return on equity was 16.8%. Now I’d like to turn the mic over to Kent at this point to give you some insight into our financial performance and then I’ll ask Mary to provide color on our credit quality. Kent?
Kent Lucien: Thank you, Peter. Good morning. Net income for the third quarter was $43.3 million or $0.92 per share compared to $35.1 million or $0.74 per share in the second quarter and $44.1 million or $0.91 per share in the third quarter of 2010. Included in the second quarter was a $9 million legal settlement related to overdraft claims. There were no gains from the sale of securities in our investment portfolio in the third or second quarter of 2011 compared to $7.9 million in the third quarter of 2010. Our return on assets in the third quarter was 1.31% and return on equity was 16.8%. Year-to-date net income was $120.8 million or $2.54 per share compared to $143.4 million or $2.96 per share in 2010. We had realized $6.1 million in securities gains this year compared to $42.8 million last year. Year-to-date our return on assets is 1.24% and return on equity is 15.8%. Our net interest margin in the third quarter was 3.09% compared to 3.16% in the second quarter and 3.27% in the third quarter of 2010. Year-to-date, the net interest margin is 3.16% compared to 3.50% last year. The lower margin is due in large part to the lower interest rate environment. The credit provision in the third quarter was $2.2 million compared to $3.6 million in the second quarter and $13.4 million in the third quarter of 2010. The credit provisions of the third quarter included net charge-offs of $3.7 million and a $1.6 million decrease to the allowance. The credit provision for the second quarter included net charge-offs of $6 million and a $2.4 million decrease to the allowance and the credit provision equaled net charge-offs for the third quarter of 2010. Our allowance for loan and lease losses at the end of the third quarter was $143.4 million or 2.7% of outstanding loan and leases. Non-performing assets were $37.8 million at the end of the third quarter, up $3.6 million from the second quarter and down $7.4 million from the end of the third quarter of 2010. Included in non-performing loans are $23.8 million in residential mortgage loans as of September 30. Non-interest income for the third quarter was $50.9 million compared to $49.5 million in the second quarter and $63.1 million in the third quarter of 2010. Mortgage banking produced $5.5 million of income in Q3 versus $2.7 million in Q2. This is due mainly to higher refinance activity. The decrease compared to last year is primarily due to realized gain in the securities portfolio of $7.9 million in the third quarter of 2010. Looking ahead, we will see lower debit-interchange revenue due to the Durbin Amendment and we estimate that this will be approximately a $4 million reduction in Q4 compared to Q3. Year-to-date non-interest income was $154.2 million compared with $203.8 million in 2010. The decrease was primarily due to $36.8 million decrease in securities gains and also lower overdraft fees. Non-interest expense totaled $84 million in the third quarter compared to $93.8 million in the second quarter and $89.9 million in the third quarter 2010. As previously mentioned the Q2 result included a $9 million legal settlement expense. We have also provided for $2 million donation to the Bank of Hawaii Foundation in Q3. Year-to-date non-interest expense was $263.8 million compared to $257.5 million in 2010. The effective income tax rate was 29.6% in the third quarter compared to 29.1% in the second quarter and 24.7% in the third quarter of 2010. The higher rate compared to last year was primarily due to the sale of our equity interest in two leveraged leases, which resulted in $4.4 million credit to the provision for income taxes in the third quarter of 2010. Our investment portfolio now stand at $7 billion and we have unrealized pre-tax gains in the portfolio of $187 million. Of that amount, $97 million is in the AFS portfolio and $90 million is in the HTM portfolio. We continue to invest on a conservative basis primarily in treasury and Ginnie Mae mortgage securities. We have also added some SBA floating rate securities in corporate bonds this quarter. The average duration of the AFS portfolio is 2.03 years. We decreased our funds sold by $207 million in the third quarter. Loans were $5.3 billion at the end of the third quarter. Deposits were $10 billion at the end of the third quarter up $30 million compared to the end of the second quarter and up $407 million from the end of the third quarter of 2010. We increased our wholesale funding with government entities by $56 million in the third quarter and our average cost of public repurchase agreements is eight basis points. Our shareholders equity increased by $14 million to $1.17 billion. We’ve paid our $21.1 million in dividends in the third quarter. And we continued our share repurchase program in the third quarter, repurchasing 723,000 shares of common stock for $30 million. Last Friday, our Board declared a dividend of $0.45 per share for the third quarter. Our capital position remains strong and at the end of the third quarter our two CEs or risk-weighted assets was 18.9%. Now I’ll turn the call over to Mary Sellers.
Mary Sellers: Thank you, Kent. Net charge-offs in the third quarter totaled $3.7 million, down $2.2 million on a linked quarter basis and down $9.6 million year-over-year. The linked period decrease was primarily due to a $3.4 million partial recovery realized on a previously charged off leverage lease. The year-over-year decrease reflects reductions of $8 million and $1.6 million in the commercial and consumer portfolios respectively. Non-performing assets totaled $37.8 million, up 3.6 from the second quarter and down $7.4 million year-over-year. The linked period increase was due to the addition of the $5 million balance of a commercial loan net of a $3.5 million partial charge off taken this quarter. Residential mortgage non-accrual loans totaled $23.8 million at quarter end. The level of these non-performing loans will continue to be impacted in the near term due to the longer resolution timeframe for residential assets. At quarter end, loan past due 90 days or more and still accruing interest totaled $10.9 million, up $3.1 million on a linked quarter basis and up $311,000 year-over-year. The linked period increase was due to a $1.8 million increase in residential mortgage and a $1.5 million increase in home equity. Restructured loans not included in non-accrual loans or loans past due 90 days or more totaled $33.1 million at quarter end, up $4.9 million from the prior quarter primarily due to the modification of a $3.5 million commercial loan. Residential mortgage loans modified to assist our customers in retaining their homes accounted for $21.7 million of the total. Consistent with the stable Hawaii economy we continue to see improvement on a linked quarter and year-over-year basis in what we consider to be the higher risk segments of our portfolio. Our land loan portfolio totaled $18.3 million at the end of the second quarter, down $1.7 million on a linked quarter basis and $9.9 million year-over-year. As we’ve shared previously, in our residential mortgage and home equity portfolios we consider loans originated after 2004 with current credit monitoring scores less than 600 and loan to value ratios greater than 70% to be of higher risk. At the end of the quarter higher exposure in our residential mortgage portfolio totaled $20.3 million, down $3.5 million on a linked quarter basis and $1.1 million year-over-year. In our home equity portfolio higher risk exposure totaled $22.3 million, up $500,000 on a linked quarter basis and down $1.6 million year-over-year. At the end of the quarter, residential mortgage loans delinquent 30 to 89 days totaled $21.3 million, up $4 million on a linked quarter basis, and $5.1 million year-over-year. The linked period increase was driven off three large loans, two of which have been resolved and only one of which, a neighbor island second home loan, is expected to result is any loss. Home equity lines and loans delinquent 30 to 89 days totaled $8 million, up $1.6 million on a linked quarter basis and $322,000 year-over-year. The linked period increase was driven by neighbor island accounts, where they continued to experience declines in property values and higher unemployment rates. Commercial construction loans totaled $69.6 million at the end of the quarter, with $31.1 million in residential home building exposure. Higher risk exposure totaled $15.4 million, down $800,000 from the second quarter, and down $3 million year-over-year. The provision for loan and lease losses was $2.2 million, which given net charge loss of $3.7 million reduced the allowance by $1.6 million to 143.4. Absent significant deterioration in the economy and assuming continued improvement or stability in credit quality, we anticipate that we may require a lower level of allowance going forward. I’ll now turn the call back to Peter.
Peter Ho: Great. Thanks, Mary. The Hawaiian economy remains stable. Visitor statistics remain positive. Year-to-date through August, visitor arrivals by air are up 2%, this despite an 8% reduction in Japan arrivals resulting from the March Sendai earthquake and tsunami. More importantly visitor spending is up 14% year-to-date. The majority of this growth has come from international markets other than Japan, including Canada, Australia, New Zealand and China. This dispersion of revenues provides an attractive diversity of market sources for our visitor industry. Unemployment edged up a bit in September to 6.4% versus 6.2% in August, but still well below national averages. Single-family home values on Oahu, our primary market, remain stable on a year-over-year, year-to-date basis. Now we’d be glad to answer whatever questions you may wish to ask.
Operator: Ladies and gentlemen. (Operator Instructions) Our first question comes from Craig Siegenthaler with Credit Suisse. Please proceed.
Craig Siegenthaler – Credit Suisse: Thanks guys. Guys, first I just want to hit on the decline in compensation and there’s a table in the press release I’m actually referencing but if you look at share-based comp, it had a very large sequential decline. I was wondering if you could help us think about what was going on there.
Kent Lucien: Yeah, we do have a share appreciation program and so the accrual as a function in part due to the market price of the stock. And so we had that in the second quarter. We really didn’t have that in the third quarter and so the accrual was smaller in the third quarter.
Craig Siegenthaler – Credit Suisse: As you look over into the fourth quarter, should that actually recover more towards the June level? Or are we at kind of close to the run rate here?
Kent Lucien: You know, it’s hard to say. I don’t know. It’s probably halfway one and half the other, to be honest.
Craig Siegenthaler – Credit Suisse: Got it. If I switch over and just think about the balance sheet for a second, it looked like there’s about $200 million-ish of deposits at the Fed which was moved into securities portfolios. I was looking for two questions. Is there any more repositioning you can do to help make the NIM a little bit more defensive here? And also with the 10-year back above 2%, I’m wondering if we should expect any downward price pressure in your available for sale portfolio yield? It was about 2.18 last quarter. Is that in your view as low as it goes as long as the 10-year is ever 2% here? So kind of two questions there.
Kent Lucien: I heard the questions. So on the funds sold, yeah, we did bring down the balance quite a bit here in the third quarter. I think it’s possible for us to operate at even a lower balance of the funds sold so there is some possibility of reducing that particular line item in favor of a little bit more investment side. On the valuation of the AFS portfolio, it’s obviously going to be a function of interest rates. As I mentioned in my prepared comments, we have $187 million of unrealized gains in the portfolio and that’s wholly a function of the market and as I think you pointed out, treasuries and the 10-year in particular diminished about 124 basis points during the third quarter. It’s bounced back a little bit since then so we’re above 2% at this time. And so the AFS mark is going to fluctuate as a function of interest rates. Did I answer your question, Craig?
Craig Siegenthaler – Credit Suisse: Sort of. I mean I still – I would still kind of like to know where the run-rate yield of the available-for-sale is today, kind of given with rates higher. You know we still have the ten year get down in the 1.6s, 1.7s. Now we’re well up above 2.1. Is it – should we expect more downward pressure on the available-for-sale yield or do you think we’re kind of there now?
Kent Lucien: Well, let me just tell you what happened in the third quarter in terms of runoff and reinvestment. So that’s probably a good way to picture it. So in the quarter between runoff and maturity we had $328 million change over in the period and the runoff rate was 2.8%. We reinvested and the reinvestment rate was right around 2%. So you can see that there’s a differential still yet.
Craig Siegenthaler – Credit Suisse: Got it. All right. Great. Thanks for taking my questions.
Peter Ho: Thanks, Craig.
Operator: Our next question comes from Jeff Rulis with DA Davidson. Please proceed.
Jeff Rulis – DA Davidson: All right, thanks. Good morning.
Peter Ho: Good morning.
Kent Lucien: Good morning.
Jeff Rulis – DA Davidson: Maybe a question for Peter. Just in a sort of a challenging revenue-growth environment, looking at controlling costs, is there a goal on the efficiency ratio that maybe versus historical levels that you’d be shooting to push that to? Or is a mid-50, that sort of tough to improve upon?
Peter Ho: Well, that’s a good question. We tend not to focus too terribly on the efficiency ratio. Frankly, I think their challenge is both in the denominator and numerator when you’re dealing with that ratio versus the nature of our business. Obviously the environment is challenged from a revenue standpoint. I would tell you that our approach to that situation is that this is more of a secular situation versus a cyclical situation. So we are taking a pretty hard look at our expense line and trying to understand deeply where we can bring down expenses without impairing either the operation or the overall franchise quality of the firm. So I wouldn’t say that we’ve got, in fact we don’t have a hard number that we want to get to but I will tell you that out of the 28 businesses that we run and the numerous operations that we run, we’re looking very closely at where we can create efficiency with as little downside to the operation as possible.
Jeff Rulis – DA Davidson: Okay. Fair enough. And then maybe a question for Mary on the commercial real estate loan production, would you characterize that as market share stealing or new demand or maybe a mix?
Mary Sellers: A bit of a mix in that equation. It was largely due to four loans and with a nice weighted average LTV around 59%.
Jeff Rulis – DA Davidson: Okay. Great. And then just one quick last one on, safe to assume that investment securities gains would be modest if any going forward given that the last couple of quarters haven’t had any.
Kent Lucien: Yeah. I’d say that’s a pretty safe assumption. But you never know. I mean there may be repositioning that needs to happen. So I wouldn’t rule it out entirely. But as we think about the portfolio we don’t have any particular desire to realize any gains at this time.
Jeff Rulis – DA Davidson: Okay. That’s it for me. Thanks.
Peter Ho: Thank you.
Operator: Our next question comes from Joe Morford with RBC Capital Markets. Please proceed.
Joe Morford – RBC Capital Markets: Thanks. Good morning, everyone.
Peter Ho: Good morning, Joe.
Joe Morford – RBC Capital Markets: I guess just following up on Jeff’s question. Actually looking at the C&I portfolio this quarter, the balances were down a little bit. Is that just quarterly volatility or did you actually see customers being a little more cautious in the quarter? Or any further decline in line utilization rates or anything like that?
Peter Ho: Yeah, Joe. Yeah, that’s a good pick up. Actually if you look at the linked average versus the linked period-end, there’s a pretty big variance there. So linked period-end was down 3% and C&I linked average was actually up 6%. So we saw a good amount of line pay downs right at the end of the quarter. I’m not sure I’d read anything into that regarding business perception whatever, but it was what we experienced and actually I think the period-end balances for the quarter masked what’s been a pretty good performance in our overall C&I portfolio for a while now.
Joe Morford – RBC Capital Markets: All right. Okay. And then a separate question would just be, give us a little more color on mortgage banking volumes, refinance activity and just overall expectations for the mortgage banking revenue going into the fourth quarter, here.
Peter Ho: Yeah. Well, we seem to be in yet another refi boomlet as we call it. We had a lot of business last year, towards the end of the year as a result of where rates are. Frankly, thought that we might have a bit of reprieve from that kind of activity, but seem to find ourselves in a bit of the same situation as what we experienced last year. So our thought is that it’s going to be another pretty reasonable year for mortgage banking activity so that helps on the fee side. It also however places some pressure on the balance sheet. And so as we see activity pick up on the mortgage side what happens is we get more churn in our resi mortgage portfolio and we get frankly more churn in our home equity portfolio as we have a good number of clients that have a second mortgage as effectively their own debt on the asset. And so as rates come down in the first mortgage space we see a fair amount of run off in that product segment as well.
Joe Morford – RBC Capital Markets: Okay. That’s helpful. Thanks so much.
Peter Ho: Okay. Thanks, Joe.
Operator: Our next question comes from Brett Rabatin with Sterne, Agee. Please proceed.
Brett Rabatin – Sterne Agee: Hi, guys. Good morning.
Peter Ho: Hi, Brett. How are you?
Brett Rabatin – Sterne Agee: I’m good, thanks. Wanted to ask maybe a question for Mary just around credit. I think you mentioned, Mary, that there might be some credit leverage going forward and was just curious if that pace might accelerate from what we’ve seen so far this year maybe in the next few quarters in terms of the reserve.
Mary Sellers: I think we’ve been pretty consistent in how we build the reserve and we’ll continue to evaluate it as we go forward quarter-to-quarter. And probably take a similar posture given where at the quality sits.
Brett Rabatin – Sterne Agee: Okay. And then secondly, just wanted to ask given the exposure to Durbin and just generally a large securities portfolio and a low rate environment, was curious – I know it’s early in the budgeting – but was curious if you were thinking about the offsets to those impacts, if you were charging or charge any CDs, if you had any thoughts on how you’re going to offset some of that pressure as we go into 2012?
Peter Ho: I’ll take a stab at that, Brett, and maybe Kent can chime in as he sees fit. Well, Durbin kicks in this quarter. Debit is a pretty good side operation and line item for us. What we have attached to some of our debit cards is a mileage program. So clearly the heft of that program has been amended to reflect more closely to the value of the program to the company. As far as addition fees off into the future, that’s frankly a question mark for us and I think you probably hear us say in prior calls and in prior meetings that we’re not sure that that’s really the path to take. We’re going to be focused on where can we gain efficiencies from an expense standpoint in the company. We’re going to be focused on working to generate revenue increases through an exchange of value between the company and our customers before we get to a pure-value transfer, which would be basically providing the same product for a higher price. We’re just not quite comfortable yet that, that’s the way to go. So a bit of a question mark is how I’d characterize it.
Brett Rabatin – Sterne Agee: Okay. Well, maybe just coming at it from a different angle and just in terms of looking at revenues total this year, I mean they’ve basically been declined a little bit with mostly the margin pressure. I mean is – I guess I’m looking for some kind of color around is the goal to keep revenues flat next year? Can you talk about what you kind of view, I know you don’t give guidance around EPS but can you give us a view of sort of your thoughts on the environment for you in 2012?
Peter Ho: Yeah, well it’s going to be – we’re going to be comping I guess off of Durbin next year so obviously that’s going to be a headwind for us. I guess what I would characterize our approach to that is, is going to certainly recognize that creates revenue pressure for us. We don’t really approach the business, though, from a standpoint of having to substitute one level of revenue with another. So we’re focused on building profitability in the business, again through building up our – or creating expense opportunities where possible and figuring out new revenue sources where possible. And frankly as a last resort, trying to figure out where we can price up for effectively no differential in value proposition.
Brett Rabatin – Sterne Agee: Okay. Fair enough. Thanks for all the color.
Peter Ho: Great. Thanks, Brett.
Operator: Our next question comes from Brian Zabora with Stifel Nicolaus. Please proceed.
Brian Zabora – Stifel Nicolaus: Thanks. Your question on – you mentioned about C&I kind of being masked a bit this quarter but any sense on the pipeline? How it stands today versus last quarter?
Peter Ho: Yeah, Brian, you know that we don’t quote the pipeline but I’ll tell you things look pretty good and a lot of questioning both internally and from our external stakeholders on where does – where is sentiment heading in the business community given all that’s – swirling around. And you know I think in general the environment remains pretty stable. We’re seeing probably an increased level of investment and activity from prior years and then on top of that there’s a fair amount of market share opportunity as some of the larger monolines that have been trolling in our neighborhood for years now, just to seem to be a bit more on the sidelines.
Brian Zabora – Stifel Nicolaus: Great. That’s helpful. And just a question on trust fees. Why the changes to, I think, the laws recently. I was just wondering what you thought about potential opportunities in the business?
Peter Ho: Well, trust fees, as you know, that is a portfolio based pricing scheme. So as the markets come down we’ve had some pressure there. I would say that there is some seasonality to that business, we tend to generate more revenue on the front of the year versus the back half because we’ve got a pretty substantial Tax business. As far as things happening as a result of changes in the laws out here, we’re not seeing a whole lot of that.
Brian Zabora – Stifel Nicolaus: Thanks for taking my questions.
Peter Ho: Yeah. Take care, Brian.
Operator: Our next question comes from Ken Zerbe with Morgan Stanley. Please proceed.
Ken Zerbe – Morgan Stanley: Great. Thanks. Obviously, you say you guys are buying back shares this quarter. Can you just talk about your appetite for buying a little bit more? Obviously you’re capital position is exceptionally strong. Loan growth, kind of is what it is. We understand the environment, but would you be willing go materially over the 100% payout ratio for any noticeable length of time?
Kent Lucien: Well, I mean I think we’ve demonstrated now for two quarters that we’ve exceeded earnings. But having said that, we’re going to be careful and measured in how we manage capital. We’ll take account of the value position and the environment, and all the relevant factors in sizing us. So and it’s a type of thing where you really have to be in the midst of the environment and make a decision at that time. It’s really difficult to project out an absolute kind of number in this area.
Ken Zerbe – Morgan Stanley: Okay. No, that makes sense. And then just any comments on the corporate tax rate, it looks like to goes a little bit lower this quarter.
Kent Lucien: Yeah. I mean we always have credits in low-income housing matters that flow into periods. The rate was actually pretty comparable to the second quarter rate. In fact, it was higher than the effective rate in the third quarter of last year. So that’s – it’s mainly been low income housing credits that impact that.
Ken Zerbe – Morgan Stanley: Okay. But going forward should we expect a similar amount of credit next quarter? Or – because it seems like it would be a little bit higher this quarter? Correct? Versus, say, second quarter?
Kent Lucien: Probably won’t see too much of a change into the fourth quarter. Next year is a different year and I just really, I don’t have a lot of clarity into it. But for the full year we’re pretty much at the rate we’re going to be at for the year.
Ken Zerbe – Morgan Stanley: Okay. Great. Thank you.
Peter Ho: Okay.
Operator: Our next question comes from Casey Haire with Jefferies. Please proceed.
Casey Haire – Jefferies: Hey. Good morning. Thanks. My question’s on, just a follow-up of the interchange stuff and the potential offsets there. Are you guys seeing anything from your competitors in terms of what they’re doing to sort of recapture these new reg reform hits? And if so, are you purposely waiting to sort of lag their changes?
Peter Ho: Casey, we’ve not seen too much change in the marketplace here in the Hawaiian market. Guam is the other market we operate in, frankly a little less clarity into the conditions there, but I think it’s probably similar.
Casey Haire – Jefferies: Okay. And then on some of the specials, the gain on the mutual funds, as well as the charitable donations, I assume those are on the other line on each side? If you strip those out, both were a little low. Is that kind of the right run rate to think about? Kind of going forward?
Kent Lucien: I’m going to answer yes to the first part of your question. Hard to know on the run rate going forward. I’m not prepared to comment on the future on that.
Casey Haire – Jefferies: Okay. But both items were in the other line?
Kent Lucien: Yes.
Casey Haire – Jefferies: Okay. Great. And then lastly just one question for Mary. Regarding the provision, if credit continues to improve and loan demand kind of remains weak, if the formula dictated a credit provision, would that be something that you guys – we might expect down the line?
Mary Sellers: Yes.
Casey Haire – Jefferies: Okay. Great. Thank you.
Peter Ho: Yes. Thanks, Casey.
Operator: Our next question comes from Jonathan Elmi with Macquarie. Please proceed.
Jonathan Elmi – Macquarie: Hey. Good morning, guys. Thanks for taking my question.
Peter Ho: Sure.
Jonathan Elmi – Macquarie: So, I’m sure you guys saw this morning the FHFA announced some enhancements to their HARP program and in particular they removed that 120% LTV cap for refi activity. And so, just trying to think about if you could help us frame the risk to the margin or the risk from any accelerated premium amortization now in the MBS portfolio?
Kent Lucien: Yes, the numbers are probably pretty small and not likely to have an impact.
Mary Sellers: Four in a quarter account modification.
Kent Lucien: Yeah, so Mary’s pointing out to me that modification levels are very low.
Jonathan Elmi – Macquarie: Okay. Thanks, guys.
Peter Ho: Yes. Thanks, Jonathan.
Operator: Our next question comes from Aaron Deer with Sandler O’Neill and Partner. Please proceed.
Aaron Deer – Sandler O’Neill: Oh, sorry, guys. All of our questions have been answered. Thanks.
Peter Ho: Okay. Thanks, Aaron.
Operator: Our next question comes from Jackie Chimera with KBW. Please proceed.
Jacquelynne Chimera – KBW: Hi. Good morning everyone.
Kent Lucien: Morning.
Peter Ho: Hi, Jackie.
Jacquelynne Chimera – KBW: I have a question on the effect of the Durbin Amendment that’s going through this quarter. In previous guidance you’d said it would likely be $12 to $14 million and then the $4 million that you had mentioned in the prepared remarks, that equates to roughly a $16 million run rate. Is that seasonal, the charge? Or has something shifted in that $12 to $14 million guidance?
Kent Lucien: No, the $4 is the more up to date number. Now that’s on the revenue side. Peter commented on the rewards aspect which is being modified which might have a small offset to that. And so net we might be back down to the $12 to $14 income effect. But the revenue effect is $16.
Jacquelynne Chimera – KBW: Okay. That makes sense. And the rest of my questions have all been answered. Thank you.
Peter Ho: Thanks, Jackie.
Operator: Our next question comes from Joe Gladue with B. Riley. Please proceed.
Joe Gladue – B Riley: Yes, good morning. I think Mary mentioned that 30 to 89 day delinquencies were about $8 million in the mortgage portfolio. Just wondering what the early stage delinquencies were in total.
Mary Sellers: In total across the full consumer portfolio?
Joe Gladue – B Riley: The full portfolio, yes, everything.
Mary Sellers: Yeah. Hang on one sec. Actually, $37 million.
Joe Gladue – B Riley: Okay. And that’s not including anything that’s in non-accrual, correct?
Mary Sellers: No.
Joe Gladue – B Riley: Okay. And just curious again with some of those increases on the mortgage delinquencies and everything and also with the increase in TVRs well first off, were you doing anything different in looking at modifications to throw some of that increase in TVRs?
Mary Sellers: Well we had one commercial on that we modified for three-and-a-half and we had two residential mortgages we modified for 1.2 so that was the quarter change. In terms of early-stage delinquency within the residential-mortgage portfolio, we really had a couple of housekeeping things, (inaudible) client, traveling, that type of thing. So when you get down to it, it’s probably about a $1.7 million increase.
Joe Gladue – B Riley: Okay. All right. I think all my other questions have been answered. Thank you.
Peter Ho: Thanks, Joe.
Operator: (Operator Instructions) Our next question comes from Russell Gunther with Bank of America Merrill Lynch. Please proceed.
Russell Gunther – Bank of America: Hi. Good morning, thanks for taking my question. Just a follow-up on the commercial modification in the quarter, if you could give us some color on what type of credit that related to and what the modification was?
Mary Sellers: It relates to a customer that had a business operation where they originally planned to ship waste to the mainland and there were some challenges with that strategy. We have re-positioned their business and have secured a contract that should amortize that debt. They have substantially supported the credit through the process and we do not expect to incur any loss on this asset.
Russell Gunther – Bank of America: Okay. Great. Thanks for that and then on the expense side, I know you commented you do not have a hard number that you’re looking at in terms of an ability to trim but that you’ve taken a look at the 28 lines of business. It may be too early to say but if you could is there – have you identified any particular line of business where you think you might have some more flexibility than others?
Peter Ho: Yeah, I think that your view that it might be a little too early to figure that out is pretty accurate, Russell. I mean like any operations, some businesses are going to have more opportunities than others but we’re really not at that point yet.
Russell Gunther – Bank of America: Okay. Great. Thanks, guys.
Peter Ho: Thank you.
Operator: And we do have a follow-up question from Craig Siegenthaler with Credit Suisse. Please proceed.
Craig Siegenthaler – Credit Suisse: Okay. Thanks, guys, for letting me get in here again. I just had two follow-ups here. On the asset management trust revenue, I’m just wondering, I’m sure most of that comes off of an AUM base, so kind of two questions. What is the mix there of kind of equity’s fixed-income money market and what’s the size of that AUM base?
Peter Ho: The AUM base, it’s not completely uniform throughout, right? So the base is – I want to say upwards of $10 billion – okay? But within that base we have certain assets – and I don’t have the breakout here, that our custody only versus fully managed and so there’s different pricings for those. Different pricing schemes for those as well. And then there’s equity versus fixed income. The majority of that portfolio, Greg, is fixed income, so it carries with it a lower fee schedule and equity is a minority but it carries with it a higher fee schedule.
Craig Siegenthaler – Credit Suisse: Got it. Helpful. And then there were a few questions that kind of touched of this, but if I just look at kind of mortgage banking, 5.5 million up from 2.7 billion quarter-over-quarter, do you know the component of that? That actually was the hedge, and then also could you give us a component that was kind of related to a wider gain on sale.
Kent Lucien: Yeah. Can you break that question down again for me?
Craig Siegenthaler – Credit Suisse: Well, maybe just I’m trying to think about what’s the real run rate here and I know refi activities still high in the fourth quarter, but as we think further out, I’m just to think what is the real run rate of mortgage banking fees ex any unusual items with the hedge. So I’m kind of looking for what’s the core run rate of revenue in that item?
Kent Lucien: Yeah. It’s actually a little bit lower than what we had in the third quarter of last year. But as you know, we’ve experienced several cycles of refinancing activity that have really distorted the volumes and the results. So I’m very hesitant to quote a normalized run rate. I’m sorry I just don’t have too much more direction there I can give you on that.
Craig Siegenthaler – Credit Suisse: No. No. I understand you don’t want to get pinned down to a certain level, but was the hedge a material amount of revenue in the quarter or was it immaterial?
Kent Lucien: You know it’s obviously it’s going to be substantial but it’s typical. Let’s put it that way.
Craig Siegenthaler – Credit Suisse: Okay. All right. Great, guys. Thanks for taking all my questions.
Peter Ho: Yeah. Thanks, Craig.
Operator: And at this time there are no more questions. I’d like to hand it back to Cindy Wyrick for closing remarks.
Cindy Wyrick: Thank you, Jeremy. I’d to thank everyone for joining us today and for your continued interest in the Bank of Hawaii. As always if you have additional questions or need further clarification on any of the topics discussed today please feel free to contact me. Thanks, everyone, again. Have a great day.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a good day.